Emelie Alm: Good morning, everyone, and welcome to the presentation of the Q4 and full year results for Husqvarna Group. My name is Emelie Alm, and I am joined here today by our CEO, Glen Instone; and also our CFO, Terry Burke. Glen and Terry will walk you through the presentation. And as always, we will finish with the Q&A session. You can ask your questions online in the web interface, and you can also ask them through the conference call. But just before we start with the presentation, we announced some management changes today. So Glen, would you like to comment?
Glen Instone: Absolutely. First of all, good morning to all. We did announce some management changes today. So first and foremost, I'd like to welcome Yvette Henshall-Bell, who will take over as the Head of the Forest & Garden Division. That's been with us some 3 years and has been leading our European business within Forest & Garden, actually recording record sales in 2025 within that business area. So were the successor to myself in that case. So really pleased to welcome Yvette to the team. At the same time, both Terry and Karin will leave the company during the course of 2026. We've got a transition period to work through, and that's what we're working towards. So very confident in the strategy we have and the team we have in place to do that. But Terry, please say a word.
Terry Burke: Thank you, Glen. Yes, just very briefly, after 16 years with the group, it was a difficult decision, but I have decided to take a new challenge to take some time out and to do something different. But it's very much business as usual for the next 2 quarters. I'll be here up until the end of quarter 2, business as usual, and we continue to execute on our new strategy.
Glen Instone: Good. So let's move on and look at -- first and foremost, let's look at 2025. If we look at 2025, of course, it has been an extremely mixed year with a lot of mixed demand. Ultimately, we actually delivered an organic sales growth of 1%. There's been certainly a change in consumer sentiment as we've gone through the year. We've seen a soft or a softening of the consumer sentiment, particularly impacting North America, slightly more positive in Europe, but still a softening of that consumer sentiment that we saw in Q3, and it continues into Q4. As I mentioned, we've had a mixed demand. We've seen some signs of positivity. We've had growth in robotic lawnmower. We've had growth in power caters growth in watering. So some of our key areas we've seen growth in, but we've also seen some declines in other segments. We had headwinds during the year by way of FX. That was a negative, and Terry will take you through the numbers, but also tariffs. Tariffs, of course, came in during the course of Q2 and continued to impact us during the remainder of the year. In most cases, we managed to offset a large proportion of that, but we didn't fully offset the tariff headwinds. We launched some cost savings programs in recent years and the most recent one in 2022. We're actually going to bring that to a conclusion, and Terry will talk about the cost savings, but we actually had a very, very strong cost savings program impacting us positively in 2025, some SEK 745 million during the course of 2025. We maintain a solid financial position as well. We managed to reduce our net debt during the course of 2025 that we're extremely pleased with. And therefore, we've increased our net debt-to-EBITDA ratio. Again, we'll come back to that later in the presentation. As such, the Board are actually proposing to increase the dividend to SEK 1.25 from SEK 1. And of course, that will be ratified at the AGM in April. Going into 2030, shifting gears forward, of course, we are now changing the strategy and looking ahead. We launched at the recent Capital Markets Day some new cost efficiency measures. And when we talk about cost efficiency, it's a significant program, some SEK 4 billion in cost savings. Most of this should be delivered or 60% of that should be delivered in the midterm, i.e., during the next 2 to 3 years. And we'll give some more guidance on how we see that in 2026 later in the presentation. We also talked about a much more improved performance management. In the Capital Markets Day, we launched the term BPU, and that is business portfolio units and how we relook at the units and how they perform. And we give a very clear signal of how some are performing more structurally and going to be part of a structural growth, how some are going to be more in a profit improvement and how some are going to be in a turnaround mode. What I do want to be clear is that we've got to be very, very clear on time line here. Where we have a turnaround, we talk about a 24-month turnaround, either robust turnaround or we need to make some firm decisions on those segments. What I'm extremely proud about is our continued innovation. In 2025, we brought a lot of new products to market, and we continue doing that into season '26. I'll actually close today's presentation and give you a sneak peek in some of those product launches, we've got an extremely strong product lineup going into season '26. So just to recap on what we said at the Capital Markets Day in terms of the financial targets. We said we would -- we have ambitions to grow 3% to 5% when it comes to net sales. Those targets are applicable immediately. That is our clear target going into season '26 and beyond. We must get this company back to growth. Operating margin, we said we have an operating margin above 10%. The first step is to get to 10%, and that is when we talk about a near to midterm target, so the next 2- to 3-year time horizon. And then from a return on capital employed, that is very much in the 2030 time horizon. So just to frame the 3 financial targets we said and when they're applicable in terms of time. Looking back at Q4, of course, this is our seasonally smallest quarter, and we actually had a sales decline of 3%. When we get such sales declines in a small quarter, of course, it impacts from a volume perspective through to the bottom line. We certainly saw a mixed demand, as I mentioned, across the full year was equally applicable to the fourth quarter. Continued soft consumer sentiment, particularly in the North America space. However, we did see some growth in certain segments, actually in the professional segments, particularly around power cutters, of course, benefiting the Construction Division and also professional robotic lawnmowers. At the same time, despite having lower consumer sentiment, we saw some growth in watering in Europe and wheel products in Europe. So still some positive signs despite it being a seasonally small quarter for us. As said in the intro when I introduced Yvette into the group management team, actually Husqvarna Forest & Garden Division in Europe performed very, very well with record sales. So a big positivity in the European business area for Husqvarna Division. So just concluding the fourth quarter, lower volumes, some 3% lower in top line impacting the volumes, headwinds from tariffs and headwinds from currency, lower on the currency, but actually slightly higher impact on the tariffs than we've seen in the previous quarters. And of course, that does give a headwind to the EBIT. But all in all, our seasonally smallest quarter. So if we look at this from the usual slide we've been showing in recent periods, net sales, as I said, declined with some 3% when we FX adjust. We actually had a sales decline in 2 of the divisions in the Forest & Garden Division as well as Gardena Division, Forest & Garden declining with some 3% and Gardena declining by 10%. But we're very pleased to see the growth in the Construction Division. Very tough first half of 2025, and we started to see some growth coming into the second half year. And that's what we saw in the Construction Division, particularly in the North America space. So a 2% growth, but the growth actually coming from our North America construction business. I think I mentioned the challenging market conditions there in North America really relating to the residential, the consumer segments. From an operating income, we had minus SEK 841 million. This is a figure we are not proud about. This is a loss-making quarter, but of course, it is lower than we would have liked it to be. Lower volumes, as I said, negative headwind and negative impact from currency and FX and tariff, but we did manage to continue delivering on our cost savings programs. Terry will take this in the bridges, but we had some SEK 180 million of positive effect coming from the savings programs in the fourth quarter. Operating cash flow, we are seasonal, and therefore, in Q4, it is our season preparation quarter. So we start to build up inventory ahead of the season, and that is very much the case. So we had a negative cash flow impacting our fourth quarter of some SEK 1.3 billion. However, at the same time, we managed to reduce our net debt, and we'll come back to that later in the presentation. Robotic lawnmowers, we've had a lot of questions, and it's a big, big focus area and one of the core business portfolio units for this group going forward. We actually managed to grow 11% with robotic lawnmowers in 2025. Strong growth in professional robotic lawnmowers, but also growth in our residential offering, particularly in the premium end of the segment. So we're very, very happy with that. Since during the fourth quarter, we managed to actually have 2 fairly breakthrough announcements. One is we will be the title sponsors of the Husqvarna British Masters for golf, again, getting us much closer to the golf business, where we feel we get a fantastic awareness creation and boost the awareness and also a very good halo effect into the more residential spaces. We also entered into a partnership with a company called Relox Robotics. And this is actually where we get distribution rights for Europe for ball picking. So again, raising the awareness of Husqvarna in the golf business that we feel is going to serve us extremely well going forward. Precision grass care and precision grass coating, which Husqvarna is now really standing for. If we go into the divisions, and I've given a bit of a flavor in the intro. But the Husqvarna Division, again, a seasonally small quarter, declined with some 3% organically in the fourth quarter. FX had an impact of some minus 8%. So reported figures at minus 11% there. Challenging in North America from a consumer sentiment perspective had a knock-on effect into the demand. And also some of our channel partners also reported on actually very low storm levels in North America in the fourth quarter, and that was the case, and that has a knock-on effect for the demand for our chainsaw products. So they were very key aspects in North America. When we look at Europe, actually, we actually saw growth in several residential segments and particularly in wheel products, but also in Pro robotics. So even though it's a seasonally small quarter and certainly for grass cutting, we managed to see growth in both Professional Robotics as well as our wheeled assortment. The income, just like for the group, negatively impacted from FX as well as tariffs and lower volumes. So all in all, we managed to come in with some minus SEK 355 million. Zooming out to the full year, actually very pleased that the Husqvarna Forest & Garden Division showed a growth -- organic sales growth of 3% and an operating margin of some 7.8%. Strong growth in Europe with much more pressure sitting in our North America business area. Moving over to Gardena Division. Again, putting this in context, it is the seasonally small quarter. And in the fourth quarter, we actually had a decline of some 10% from an organic sales perspective. The main declines came from 2 areas: the electric products that we call our Powered Garden segment, but also the watering business in North America under our Orbit brand, largely the result of weak consumer sentiment. We did, however, see growth in the watering business in Europe. That is the business portfolio unit that we put into the strategic or structural growth segment at the Capital Markets Day recently. So very pleased to see the growth in the watering segment in Europe even in a small quarter. So given that, we managed to keep EBIT more or less flat to last year, slight improvement to some minus SEK 376 million, so fairly flat despite the lower volumes. On a full year basis, the division declined with 3% organically and managed to have an operating margin of some 6.4% Again, growth in watering with some pressure in the Orbit business in U.S. as well as the Powered Garden, the electric assortment globally. So very much the same comments I say, Q4 are applicable to the full year. Construction, very pleased, as I said in my intro, to say that we've had a growth in the Construction Division in the fourth quarter. Very tough H1 given the North America situation and the cyclical point, but we managed to see a recovery during the second half of the year, and that continued into Q4. So we actually had an organic sales growth of 2%. Strong growth in power caters, which is a very key area and a big part of our sawing and drilling business portfolio unit and also actually strong growth on aftermarket sales in the fourth quarter. That's been a continuation within the Construction Division. Operating income did decline as a result of FX and tariffs. Construction Division is the most exposed to FX given its stronghold in North America as well as the tariffs, but we managed to offset a large part of that. And as such, when we look at the full year basis, we're very, very pleased actually that we managed to maintain our absolute EBIT and actually improve the operating margin to some 8.9% despite the headwinds from FX and tariffs. So very, very strong cost-out programs and price mitigation activities. At that, Terry, I pass to you.
Terry Burke: Thank you, Glen. As Glen described, a difficult quarter 4 for us. It is a small quarter and a loss-making quarter. Our margins moved from 8.2% margin in Q4 '24 to a negative 11.3% margin in quarter 4 this year. Just walking you through the bridge from left to right. We have a negative volume and mix impact. We've talked about the organic sales having a negative development in the quarter. And of course, that volume has impacted our EBIT. In addition to that, maybe also worth pointing out handheld, which is quite relevant in this quarter. Handheld was relatively weak in the quarter, which had a negative mix impact. And really, the reason for the handheld, there was a lack of -- shortage of storms in North America, in particular. And normally, with the storm comes the sale of chain stores, et cetera. But it's been quite calm in quarter 4. So that had a little bit of a negative impact on the mix. Good cost savings. We continued with our previously communicated programs and delivered SEK 180 million savings. And we managed to deliver a low single-digit price increase in the quarter, some SEK 60 million. We continue in a modest way with our transformational initiatives of some SEK 35 million. Currency headwind was a SEK 35 million in quarter 4, again, a continued strengthening of the Swedish crown against the U.S. dollar. So that has had a negative impact. And the tariffs approximately SEK 150 million negative in quarter 4. That takes us to the negative 11.3% margin in the quarter. Year-to-date, we have a slight margin decline in the full year, moving from a 6.6% margin to a 6.2% margin. And again, just walking you through the bridge from the left to the right. We actually had a pretty flat impact from the volume and the mix. We actually had a slight positive effect from a mix, but there were some costs that offset inflationary costs, et cetera, that offset that. So pretty flat from a volume and mix impact perspective full year. Cost savings program, SEK 745 million in cost savings achieved during the year. So that has contributed in a very positive way to our result during the year. Price, negative SEK 215 million, in the year. And that was really driven by the robotics price erosion. First of all, we had the boundary wired robotic that we were aggressively selling out and selling through. And there has been -- in the residential part of the robotics, there has been a margin erosion, price erosion, which we see here in the price reduction. Modest transformational initiatives of some SEK 115 million investments. Currency in the year, SEK 315 million negative and tariffs, which was around 8 months of the year because it only started in May, June time, that impacted with some gross SEK 375 million. All in all, that took us to a 6.2% margin full year 2025. We now want to close our previously communicated cost reduction programs that we communicated during 2022 to 2024. We have delivered approximately SEK 2 billion of savings in those cost-out programs, and we have reduced approximately 1,700 positions within the company during that time as well. So we feel quite satisfied about how we have performed on this cost-out program. But now we need to turn our attention to our newly communicated cost efficiency program up to 2030, which I'll come on to now. So at Capital Markets Day, we announced a SEK 4 billion cost-out ambition fully realized in 2030. This is about addressing sustainable cost reductions and improved operational efficiency. Now we want to try to drive a lot of that SEK 4 billion as early and as soon as possible. So we aim to get the majority of those savings in the short to midterm. What that means for 2026 is we expect some SEK 800 million of cost-out savings to be delivered in 2026. Maybe just to call out that during the course of 2026, the majority of the SEK 800 million will come in the second half of the year. We will get savings in the first half, but the majority in the second half as we really execute on our actions and our plans to deliver those savings. Just to remind everybody, items affecting comparability, SEK 1.5 billion is needed to support the SEK 4 billion of cost out. SEK 1 billion of that is cash impacted, SEK 0.5 billion noncash impacted. And for 2026, there will be approximately SEK 0.5 billion of nonrecurring costs incurred as part of this SEK 1.5 billion. So maybe one other thing to point out here as well is the 20% complexity reduction, which is a key enabler. We are focused. We will reduce our product range, and we will aim to take complexity out of our business. So that is a key enabler and will help us to deliver on some of these savings. Going back to our balance sheet. We have a very solid balance sheet and a solid financial position. A couple of things maybe to call out on the balance sheet for this quarter. Our inventory levels are now more or less flat with last year, but we did significantly ramp up inventory in the last quarter, some SEK 1.8 billion of inventory was increased during quarter 4 in readiness for the new season. So we feel like we have good inventory around us, and we are ready for the 2026 season to start. Maybe one other thing to call out on this slide, the borrowings. As you can see, we have reduced our borrowings. Our net debt has also come down, and we feel we have done some good work on the cash flow and managed our balance sheet in a good way. Moving on to the net debt EBITDA. We are now at a 2.1 ratio -- net debt-to-EBITDA ratio compared to 2.5 previously. So we are well within our financial policy. We have reduced our net debt to SEK 11.8 billion compared to SEK 14.5 billion previous year. So I think we've done well in this situation, and we've managed our cash flow in a good way and managed our working capital in a good way to help achieve this. Finally, on the cash flow. I think I would describe the 2025 cash flow profile as more of a normal cash flow profile year. So we tend to be negative at the start of the year as our accounts receivable build up as we continue to build inventory, et cetera. And then as we come out of quarter 2 and into quarter 3, we really maximize our cash flow position. And then quarter 4, it's a loss-making quarter. It's an inventory build quarter. We start to drop off a little bit in quarter 4. So I would say a solid cash flow year, SEK 3.3 billion and a normalized cash flow profile in the year. Glen, with that.
Glen Instone: Thank you, Terry. So on sustainability, first and foremost, we're extremely happy with our sustainability efforts. In the fourth quarter, we continued to expand and advance our performance. We improved our emissions, so now reducing emissions from the 2015 baseline by 56%, our CO2 emissions, an improvement of 1% in the quarter. So extremely pleased with that and way above the target we set ourselves a couple of years ago. Circular, we advanced in the quarter with 4 additional ideas or innovations. So our circular innovation is now at 49%, so more or less on track with the 50% target we had, and particularly targeting recycled materials in product as well as in packaging. So really pleased with what we're doing on the circular side. On the people side, we set out to empower 5 million people to make the right choices, and we actually improved during the fourth quarter to 5.6 million from 5.5 million. So we've exceeded that target, and we're very pleased with what we've done there. And of course, as we go into 2026, we'll focus much more on the carbon CO2 reduction and our circular offering by way of percentage of net sales, and we'll come back to that. I mentioned in the intro that we will propose -- or the Board proposed an increase in the dividend to SEK 1.25 from SEK 1 per share. That is based on a payout ratio of some 40% and very much in line with our plans and also the dividend policy to pay out some above 40% of our net income. So very much in line with our policy there, the proposal. So very, very balanced based on what Terry just took us through, a much stronger balance sheet, strong financial position, reduced net debt, and therefore, we feel we can justify increasing the dividend as such. So we're pleased with this proposal. If I just summarize then the full year, and then we'll look at some of the product launches before opening up for some Q&A. Full year, despite the headwinds, particularly by way of FX and tariffs, we managed to increase our top line with 1%. So despite the headwinds, we still managed an improvement. We do have some weak consumer sentiment, particularly in the North America space, and that continues, of course, during the third quarter and into the fourth quarter, we saw that continuation. We've had a lot of successful product launches in 2025, and I'll show you on the next slide, a sneak peek into what we've got coming for 2026. Our savings programs, Terry just concluded that. We've had a very successful set of savings programs with some SEK 2 billion delivered in the recent years for the programs that we launched. And now we launched even more aggressive cost-out program for season '26 and beyond. And this is very much needed. We've got to be even more competitive in the marketplace and really free up the funding to invest in our aftermarket and our brands. So we'll continue with that. As mentioned, extremely solid financial position. We reduced our net debt significantly, as Terry took you through, and we've, therefore, proposed an increased dividend. Just on 2030, very, very strong product lineup, and I'm going to go through. Performance management is going to be key. We're going to give you much more clarity and information around our performing segments and less performing segments where we have less performing segments, we need to have very, very clear plans to improve them. And of course, the SEK 4 billion cost efficiency program is going to be a prerequisite. I would like to add a minimum before that. It's going to be a minimum SEK 4 billion. We need to actually bring in more savings earlier. That is very much what we are planning to do. So just to give you a flavor on some of the product launches, and I really emphasize the some because it's hard to fit them on one page. We start off in the robotics area and particularly under the Husqvarna brand, we actually have 7 new models coming for season 2026 under the -- in the residential setting. We have 4 in the 400 series for the larger landowner customers, and we have 3 in the smaller landowner customers using our scalable AI vision. We also have a new model coming in the professional segment that's covering lawn sizes or commercial screen spaces up to 8,000 square meters. And what we'll also add to the range is actually an accessory that is retrofit -- you can retrofit it to the 2025 500 series robotic lawn mowers, enabling the vision possibility for our mowers. So that's something that we'll offer for season '26. We also have a fantastic range of chainsaws that we're bringing to the market. We've recently launched a new 60cc petrol chainsaw, which we believe is best-in-class. We also are now adding more and more when it comes to our residential offering as well as our battery offering. We also are now adding more and more when it comes to our residential offering as well as our battery offering. So we actually now have a 50cc battery equivalent chainsaw coming to the market, our 550i XP. So that is very, very powerful battery chainsaw. In the Gardena assortment, of course, we use the group's strength in robotics, and we also have the Gardena Smart SILENO sense using the AI technology that we have across the group, and that would really target loan sizes from 400 to 800 square meters. We have some very strong offerings when it comes to our watering. We have hose boxes, we have new water tanks, and we also have the AquaPrecise, again, advancing our positions in smart watering. In the Construction space, and for those who managed to join us at Capital Markets Day, we showed this in action, but we actually take the robotics technology into the floor grinding space, and we have the first self-operated floor grinder under the Husqvarna brand actually in the industry. We're very pleased with this. This is now available for customers to purchase and early signs are extremely positive. We also expand our battery offering in the construction space. We have our high-powered PACE battery, the 94-volt PACE battery that we have more and more offering from. And we're very pleased actually with some new revolutionary technology that we bring to the diamond cutting space that's really going to help our sawing and drilling technology and offering. So a very, very strong and broad product lineup going into season '26 that is going to serve us extremely well. With that, Emelie, I think I pass to you.
Emelie Alm: Thank you, Glen, and thank you, Terry. So with that, we will open up for Q&A. [Operator Instructions] So we will start with a question from the webcast, and it's from Henrik Christiansson at Carnegie. So could you walk through the main items on the EBIT bridge for 2026 over and above cost saves of SEK 800 million? What about FX, tariffs and price?
Terry Burke: Sure. So okay, let's start with the price. We would expect a low single-digit price to come through during 2026. From a robotics perspective, in the residential, there's potentially still a price pressure. However, it's a much more normalized situation compared to what we faced in '25 when we were trying to sell out all the technology and some price adjustments in that area. So overall, a small single-digit price. When it comes to currency, we had a SEK 315 million negative currency in 2025, and I would expect about half of that in 2026. So somewhere between SEK 100 million to SEK 200 million of negative currency is how it looks at this moment in time. Tariffs, we've got 4 -- approximately 4 months from a year-over-year perspective to carry over into the first half of this year. And the gross impact of that will be some SEK 200 million to SEK 250 million impact in tariffs. And we would expect at least half of that to be offset with mitigating actions.
Emelie Alm: Thank you, Terry. So operator, do we have any questions on the conference call?
Operator: [Operator Instructions] Our first question comes from Adela Dashian with Jefferies.
Adela Dashian: So first question, I know it's still early -- very, very early in the season, if you will, for '26, but would it be able to get some sort of understanding of what the weeks in January has given you more visibility? Maybe, I mean, if you could compare it to 1 year ago today, even, that would be some good color if we start there.
Glen Instone: Adela, I think it's very early to say. Of course, we're very much in preparation mode, loading up the channel partners in preparation for the season. So I think it's very early to say just 5 weeks into the year. But our ambitions remain, as we set out at the Capital Markets Day that we want to see growth in 2026, and that is absolutely the case.
Terry Burke: Maybe just to add on to that. From the inventory in the trade perspective, if we look at Europe, I would say the inventory in the trade is probably around normal to slightly above normal. This is all on a very high level, of course. There's some nuances between categories, but normal to above -- slightly above normal in Europe. North America, with that weak consumer sentiment that has really carried through all of 2025, I would say the inventory levels are above average in North America going into the '26 season.
Adela Dashian: Would it be possible, Terry, to actually specify what those nuances are in the different categories?
Terry Burke: Well, if we go back to Europe, if we talk about watering, I would say watering is normalized. Water and hand tools, they are pretty much normalized. Residential robotics is slightly above average in the inventory in the trade. Wheel, I would say, is pretty normalized as well. If that helps put a little bit of flavor on it. And the higher inventory in North America is pretty much across the board.
Adela Dashian: Yes. That makes sense. On the tariff impact, if I may, you said that you expect to be able to cover half of it through price increases. Would it be possible to say anything about the competition at this stage? And if in the past year or so, if there's been any change in your market share?
Glen Instone: I'll take this one. I think it's -- we don't like to comment on competition necessarily, but price increases, we managed to pass on. We've done that during the course of last year, of course, later in the season, and therefore, we get the benefit into season '26. Hence, we give that sort of guidance of covering about half of the tariff exposure. We've got to stay competitive in the marketplace as well. But I don't like to comment on what competitors are doing in that respect.
Terry Burke: And I think it's different -- it's very different between divisions as well. The competition, some have a very local competition. And because we have such a broad range, it differs even within the division. So there are areas where there's local competition, which obviously aren't impacted by the tariffs. And then there are some parts that are European manufacturers. But even some of the European manufacturers have manufacturing in the U.S. So it's a very complicated picture. And as Glen says, we don't really focus too much on the competition. It's what we can influence ourselves internally.
Operator: [Operator Instructions] We have no more registrations over the phone.
Emelie Alm: Okay. Let's go for a question from the webcast again. Could you please elaborate on your inventory position? How much of this still relates to products that you are currently phasing out?
Glen Instone: I think it's -- first and foremost, we're in season preparation mode. We said that a couple of times today. So Q4, as Terry said, a normalized profile is to start building inventory. So our elevated inventory in the fourth quarter was according to plan. But we have been selling through obsolete inventory in old models, and that's continued to be the case. So I would say we're at a much, much lower level when it comes to our obsolete inventory, much lower than we were closing Q3.
Terry Burke: Yes, nothing really much more to add. I think we're in a much better position now with the older technology than we were in 2025, as you say, Glen. So I think we've dealt with that issue. It's more normalized and overall good healthy inventory.
Emelie Alm: Thank you. Can we get the next question from the conference call, please?
Operator: The next question comes from Bj�rn Enarson rn Enarson with Danske Bank.
Björn Enarson: You said you will mitigate half of the tariffs and it was assumed that, that is through price. Is that correct? Is it primarily price that will offset this? Or are there any other actions in place to compensate tariffs?
Glen Instone: Bj�rn, it is predominantly price and it's actually price that we already managed to pass on during the second half of next year that will carry over into 2026. So it is predominantly price. But in some cases, we look at supply mitigation activities as well. But the lion's share is price increases.
Björn Enarson: And on -- for Europe then, are there similar target for you to also see some net price hikes for the year?
Glen Instone: I think as Terry said, our price guidance for the year is minimal given how fluid the market is. But as a market leader, I expect we can always take some price, but it will be minimal single digit this year, as Terry said.
Emelie Alm: Thank you, Bj�rn. We have another question in the webcast from Alexander Siljestr�m, Pareto. Can you quantify the step-up in marketing investments in 2026, considering the British Masters title partnership and your ambition to increase marketing spend by 1 to 2 percentage points of sales?
Glen Instone: Yes. It's a very good question, a very positive question. So we will increase our marketing efforts, as Terry mentioned at the Capital Markets Day, we want to increase from 3% to 5%, so 1 to 2 percentage points increase. That will be, I would call it, marginal during the course of 2026. We want to start proving ourselves with the cost-out program to really fund that investment. So there will be a marginal increase, but I would say our total strategic investments or transformational investments are more around the SEK 100 million, SEK 150 million mark across the full year.
Emelie Alm: Thank you. And in the Q4 EBIT bridge, what was driving the negative SEK 170 million in volume mix and other?
Terry Burke: Yes. As I touched upon during that slide, of course, we have a negative volume in the quarter. Our organic sales was 3% down. Then you have a slight positive price. So if you put that into it, it's 4% down negative volume in that sense. So that has had an impact, and that is the majority of the SEK 170 million. Also, as I mentioned, handheld has been a weaker quarter than normal, which would have a negative mix impact. And that's really due to the lack of storms in North America, where usually there are storms and immediately after that, chain saws are sold out. It was quite calm in quarter 4. So that had an impact on our handheld business.
Glen Instone: And maybe the attached P&A that goes with that handheld goes hand-in-hand with that. So that was lower as well in the fourth quarter.
Emelie Alm: Thank you. And do you include an improvement in consumer sentiment in the U.S. to the back -- to achieve positive organic growth for 2026?
Glen Instone: Given that we have 2 of our 3 divisions working very much in the consumer space, orbit a consumer or Gardena or it in the consumer space, Forest & Garden around 2/3 in the consumer space, then, of course, we were -- we are -- we have hopes and ambitions that there's a consumer sentiment uplift. But at the same time, we need to take market share despite how the consumer sentiment is. So that's very much what we plan to do. On the professional side of the business, both Forest & Garden as well as Construction, then we do see the positive signs or some more positive signs than the consumer market. So all in all, that's how we see it.
Emelie Alm: Thank you. And given new entrants offering wire-free vision-based navigation at aggressive price points, how is Husqvarna defending its market share in the North American residential markets?
Glen Instone: Yes. It's still fairly small in North America residential market in robotic lawnmowers. The awareness is still fairly small. We need to keep building that also a big reason for the brand-building activities. So whilst it's still small, we've got to make sure we continue the market leadership position. We do have some great offers. We came in season 2025 with a particular North America offering, much higher wheels for different grass cutting, different grass types, I should say. And we'll continue to have that offering for North America. What is being successful in North America, the early awareness is actually in the professional space. And the reason I start to mix up professional residential there is that the halo effect from the professional into the consumer residential space is very apparent, particularly in golf. So we're very, very pleased with, if you like, what we have today, and we have a strong product pipeline for '26 and particularly into '27, that's going to support the North America space.
Emelie Alm: Thank you. And how large share of sales is robotics and battery now for the full year?
Terry Burke: 22%, that is now the share. So previously, it was 20%. So we've moved the needle yet again in a very positive way, and we now become 22% of our total sales is through robotic and battery. So again, continued very positive journey there.
Emelie Alm: Thank you. So operator, do we have any further questions on the conference call?
Operator: There are no more questions.
Emelie Alm: Okay. All right. So with that, let's conclude the Q&A session and today's call. And thank you very much for watching, and we are looking forward to seeing you at our upcoming road shows. Thank you.